Trond Johannessen: Good morning, and welcome to this presentation of Pexip's third quarter results. My name is Trond Johannessen, and I'm the CEO. Together with me here at Lysaker, I have our CFO, Oystein Hem; and our Chief Revenue Officer, Åsmund Fodstad. Together, we will take you through the highlights of the past quarter and our focus going forward. The standard disclaimers apply as usual. First, a brief overview of Pexip for potential new viewers. Pexip was founded in 2012, and currently, we operate in 25 countries across the globe. We are a specialist video conferencing and infrastructure company focusing on interoperability and secure and custom meetings. We do software only, Delivered as a Software or Delivered as a Service. Pexip has unique and established partnerships with the leading companies in our industry. You see some of them on this slide. We complement and enhance their solutions and do not generally directly compete with them. Our customers are mainly large organizations in both the private and public sector that have complex needs when it comes to video collaboration. The financial performance is strong and has been improving over the last quarters. Now to the highlights of the past quarter. Our annual recurring revenues grew with $3.2 million during the quarter, and this leaves us with an ARR base of $122.2 million out of Q3. In the quarter, we had particularly strong performance in our Secure and Custom business area, and the development here is supported by increased public awareness around the need for secure and sovereign IT and communication solutions. In Connected Spaces, our Connect for Zoom product continues to perform well. We also see that our solutions for self-hosted interoperability in high-security private clouds in the U.S. is developing positively. In Q3, we also launched a brand-new product in cooperation with Google that enables Google Meet hardware to connect to Teams meetings with excellent quality. This was not possible before. EBITDA came in at NOK 52 million in the quarter and fresh -- and free cash flow came in at NOK 29 million in the quarter. If we look at our Q3 performance in the context of the last 12 months, we see that the positive trend we have seen over the past quarters continues. Our total ARR continues to grow and is at an all-time high. Year-over-year the growth rate is 12%. Our 12-month rolling EBITDA reached NOK 310 million, which is a 74% improvement since Q3 last year, and this corresponds to a 25% EBITDA margin. The free cash flow in the last 12 months was NOK 303 million. This is 45% higher than at the same time last year. We take this performance as evidence that we are operating in attractive markets with relevant products and a strong market position. Pexip has 2 main solution areas. Pexip Secure and Custom is about privately hosted video meetings that give complete privacy and data control with the desired level of customization. Pexip Connected Spaces is about video meeting interoperability by enabling any meeting room to connect to any meeting platform. First a few words about Secure and Custom. This area grew 30% year-over-year in Q3 and now constitutes 44% of our total ARR base. Here, Pexip provides a video meeting platform that can be used exclusively or alongside, for example, Teams or Zoom in those situations when you need to close the door and have a secure meeting. Our solution includes security features such as tailored user authentication, clear meeting classification labeling and complete control over what data is stored and where. Integrated chat is also an option. The secure meeting can easily be booked through the Outlook calendar or started through a chat session exactly the same way as with Teams meetings. I believe that most large organizations will have more than one video meeting solution in the future, and Pexip is very well positioned as the secure meeting's alternative. AI functionality is clearly in demand also for organizations that use secure meetings. Pexip works with NVIDIA to bring relevant AI features to our customers as added features in Secure meetings. Previously, we have launched live captions. And now in Q3, we introduced translated live captions covering 36 languages. Next up is exporting transcripts to enable video meeting summaries and the like. This will come in our version 3 of the Pexip AI Media Server. A typical use case for AI-based translated live captions would be court hearings where all participants do not speak the same language. On this slide, you see an example of a satisfied customer that used translated captions in a recent court hearing in the U.K. Cleaven Faulkner, Director of the U.K. Military Court Service says, "Today, the U.K. Military Court Service used Pexip's Secure Meetings platform to enable remote participation in the hearing at the Bulford Military Court Center by native German-speaking attendees. Through Pexip, powered by NVIDIA, all spoken content was translated in real time into German, allowing the participants to follow every part of the proceedings. I think it's a pretty good testament to the perceived value and, of course, the observed quality of this Pexip functionality." In our other business area, Connected Spaces, Pexip has the vision of connecting any meeting room to any meeting platform, a vision that now pretty much has become a reality. With Pexip's unique technology, interoperability focus and industry partnerships, we have a market-leading position in this field. The new solutions for Google hardware, Zoom Rooms and Teams Rooms are unique to Pexip and are evidence of the leading position that we have. In Q3, we launched a brand-new Connected Spaces product named Pexip Connect for Google Meet hardware. With this new product that we have codeveloped with Google, all meeting rooms that have Google Meet hardware can now connect to Teams meetings with excellent quality. This was not possible before. The market interest is strong, and we closed $250,000 in new ARR on this product during the month of October alone. This is really no big surprise to us as Google has stated that this is the most requested feature for Google Meet hardware by their customers. Let me show you a short demonstration of how the solution works and looks. [Presentation]
Unknown Attendee: Your Google Meet hardware can now dial into a Teams meeting. I've already dialed in 3 Teams users from their Teams application on the laptop. Let's connect the Google Meet hardware as well. Notice how we get a Teams like experience when using Pexip Connect. At any given time, we get the Teams like features seen here as exemplified with profile picture, speaking indicator on the ones speaking without sending video; someone in Teams has clicked raise hand; and at the same time, we maintain most of the screen real estate for those that are sending video. If someone wants to click share from their Teams application, down here, we have Powerpoint live list. Let's go for the top one. Content is being prepared and shared in Teams, which in turn is being projected on the Google Meet hardware as well.
Trond Johannessen: I hope you like it. In my humble opinion, it looks pretty good. Moving over to a slightly different use case within Connected Spaces where Pexip is truly unique. In the U.S. government space, various private or government clouds are in use for different classification levels up to top secret. Interoperability solutions are required to enable the use of Microsoft Teams from meeting rooms and organizations using these various government clouds. Pexip works closely with Microsoft to deliver these critical solutions. It is worth noting that Pexip is the only technology partner enabling video devices to join Teams meetings in U.S. government clouds. This past quarter, we initiated 2 different projects within high-security government organizations that now will get access to Pexip's Connect products for the first time. We expect these projects to expand significantly in 2026. So stay tuned. Now I hand it over to Åsmund for a sales update.
Åsmund Fodstad: Excellent. Thank you, Trond, and good morning, everyone. I'm proud to say that Pexip's success in Secure and Custom continues with another very strong quarter, ending at USD 2.8 million in ARR growth to USD 53.4 million. It represents a 30% growth year-over-year. Pexip solutions for defense and justice are yet again significant to our growth in this space. In addition, we do see an increased demand for secure collaboration and sovereign IT, especially in Europe, adding several large customers wins and expanding opportunities for regulated privacy-focused solutions in Q3. Let me share with you a recent win with exactly this in mind. The Spanish State Agency for Digital Administration serves as a service provider for the Spanish public sector. To enable secure and seamless communication across millions of users, [ SGAD ] turned to Pexip, the only provider certified by the National Cryptologic Center, CCN. Pexip powers 2 distinct national platforms: Number one, citizen to government communication, a scalable platform that makes it simple and safe for Spanish citizens to connect with public services, of course, without friction or any compromise. Second, intergovernment communication, a highly secure collaborative environment with advanced authentication and data protection. And Pexip was the only provider capable of meeting Spain's strengthened security, scalability and user experience requirements, delivering a modern service to both citizens and public services. Let me move to Connected Spaces. This is the second consecutive quarter with growth for Connected Spaces, ending the quarter at USD 68.8 million despite the one-off reduction of USD 1 million from the change of our partner business model announced back in Q2. Pexip continues to see strong momentum with all our strategic partnerships like Microsoft, Zoom and Google. And as Trond said, we have already seen very good traction with the new Pexip Connect for Google product now in Q4. Pexip maintains a solid pipeline for our Connect portfolio, and we expect continued strong traction into 2026. Let me also share a major win from Q3. As the leader in universal interoperability, Pexip was selected by one of the world's largest banks to extend seamless video collaboration across this highly regulated environment. The bank wanted employees to move seamlessly between Zoom and Teams, this time from virtual desktops or so-called thin clients. Thousands of virtual desktops are enabled with Pexip Connect for Zoom, allowing flexible video communication between the platforms and at the same time, maintaining strict compliance and data protection standards, which is, of course, very important in the financial market. This marks Pexip's first interop for PC clients, demonstrating the company's ability to innovate in new areas for interoperability. And with that, I'm going to hand it over to Oystein for the financial details.
Øystein Hem: Thank you, Åsmund. For annual recurring revenue, as stated, we grew 12% overall, driven by strong growth in Secure and Custom of 30%. Connected Spaces is flat year-on-year. However, it's seen modest growth for the past 2 quarters. And the growth came from customers in government, health care and defense in terms of geographies with good contributions from both Americas and Europe. In terms of net retention and new sales, Connected Spaces saw an increase of $400,000, and it's the second consecutive quarter with a slight growth. This is despite the large downsell we mentioned in the Q2 presentation, which impacts the net retention for this quarter, and it shows a positive underlying momentum within Connected Spaces. Most of the growth, as Åsmund mentioned, continues to come from Secure and Custom, which had new sales of NOK 1.6 million and existing customers growing with 1.2 million. In terms of the P&L, revenues grew 16% year-on-year in Q3, helped by strong software sales and the ARR growth of 12%. EBITDA came in at 20% for the quarter, up 12 percentage points year-on-year. On a 12-month rolling basis, revenues grew with 15% and EBITDA is now at 25% if you look on a full year basis. For the quarter, Pexip increased its EBITDA with NOK 34 million compared to the revenue growth of NOK 37 million. So we're continuing to leverage the scale benefits of our software business, enabling us to grow without adding significant costs. In terms of costs, they were flat overall compared to Q3 of last year. Cash-based salary expenses are up NOK 1.5 million. Share-based compensation is down NOK 5 million and other OpEx is up NOK 4 million compared to Q3 of last year. Other OpEx was lower in Q3 of last year, while this year, it came in very much in line with the past couple of quarters. So overall, a fairly consistent development and in line with previous quarters. Looking at cash flow, Q3 had NOK 44 million in operating cash flow, which is up NOK 23 million year-on-year. Investments and leases are stable year-on-year. And in total, we delivered NOK 29 million in free cash flow. We also completed our buyback program in Q3, leading our cash and money market fund position in total to close slightly below Q2 and is now at NOK 526 million. To summarize, revenues are up NOK 37 million, gross profit is up NOK 35 million and adjusted EBITDA is up NOK 34 million and is now at 20% margin. Depreciation is slightly down year-on-year, while net financials is down due to currency fluctuations this quarter going against us. And this resulted in a profit before tax of NOK 33 million for the quarter. And with that, I hand it back to Trond.
Trond Johannessen: Thank you. Now a few words about our outlook. As described earlier, we maintain a positive market outlook based on the key trends we see in our markets and the unique technology, strong market position and solid industry partnerships that we have. Our expectation going forward is that we will end Q4 with an ARR in the range of $124 million to $127 million compared to the $122 million we had leaving Q3. This expectation is a reflection of our belief that the positive trend we have seen over the past quarters is expected to continue. Our near-term targets of consistently delivering above 10% ARR growth and above 20% EBITDA margin have been reached over the last quarters. Longer term, we have an ambition to deliver above Rule of 40 performance across ARR growth and EBITDA margin. Last 12 months, we are at 37% on this parameter. Finally, before we go to Q&A, our Q4 presentation will be given on February 12 next year. Now Q&A, and I welcome my friends back in the studio.
Øystein Hem: Thank you, Trond. We'll start with a question from the analysts that are with us live. Jørgen Weidemann from Pareto. Do you have any questions for us?
Jørgen Weidemann: So first of all, could I ask the U.S. shutdown? Have you seen any effects on that? Or do you expect any effects of that going forward?
Åsmund Fodstad: We still have strong momentum in both federal and public sector in the U.S. However, it's hard to really predict what's going on, on the U.S. side. So far, we haven't seen any impact on the opportunities we are working on, but it's hard to predict what's going on, on the U.S. side on a daily basis.
Trond Johannessen: Yes. I think the uncertainty is higher than it has been. Some of the projects we are working on are kind of classified as sort of a kind of importance level that enables sort of those organizations to keep on working and those employees to operate as normal. But of course, there might be situations where we see delays, which I think will be the actual effect, not actually business going away, but orders being delayed if there is any effect at all. We have to just wait and see on this, I guess.
Jørgen Weidemann: Okay. That's fair. And then considering 2026 is getting closer, could you remind us what you did on pricing this year? And if you see any possibilities of increasing prices into 2026?
Øystein Hem: So I think on average, there are some product variations. But on average, we increased our prices with 5% in 2025 and also in 2024. And I think that's a fairly fair estimate for 2026 as well, that decision is still...
Jørgen Weidemann: Okay. That's fair. And a final question from me. It seems like the interest in Secure and Custom is still quite high. But could you give us a little color on what you see on sales compared to leads generation as of right now?
Trond Johannessen: We normally don't comment on order intake. Of course, we measure our pipeline. And I think what we have said around securing customer mix is that the growth momentum we have seen, we had 27% over the -- last time we reported our year-over-year growth of 27%. This time, it was 30%. It's definitely a level that we think is achievable going forward, whether it's going to be a bit higher, I mean, let's work to make that happen. But there's at least no kind of indication that the growth here will slow down.
Øystein Hem: Then we'll move on to Christoffer Bjørnsen from DNB Carnegie. Welcome, Christoffer.
Christoffer Bjørnsen: Can you hear me?
Øystein Hem: Yes, we can.
Christoffer Bjørnsen: Yes. I know this is a video-focused company, but I'm traveling, so I can't really do video today, unfortunately. But I just want to -- first of all, on the revenues, it was pretty strong. We're thinking maybe there's going to be some currency headwinds and so on. So just can you maybe unpack a bit what drove that strong revenue development? Was there any -- I think you mentioned in the report that there were some renewables and some license deals and so on. So maybe unpack a bit the strength of the revenues.
Øystein Hem: Yes, happy to. So I think we benefited in terms of revenue recognition this quarter by most of the ARR growth coming on software as opposed to Software-as-a-Service, which accelerates revenue recognition somewhat. So that's the main sort of driver for it. Then we are, as you say, starting to face sort of a bit more difficult comparisons given that we invoice mostly in U.S. dollars and the currency rate is a bit stronger compared to the Norwegian kroner now than it was a year ago. But so far, we've been able to sort of offset that effect by our ARR growth.
Christoffer Bjørnsen: All right. That's helpful. And then on the -- you mentioned you've won this bank, which was, I think you said is your the first use case for Connected Spaces or interop on desktop, right?
Øystein Hem: Correct.
Trond Johannessen: Correct.
Christoffer Bjørnsen: So -- that's super exciting. Can you maybe help us understand a bit better? Is this typically something that the customer would do when they have like a new office setting up from greenfield? Or is this also kind of relevant for retrofitting of existing office facilities? And just how much does this expand your TAM essentially because this goes from -- I think I don't know how many more webcams there are in offices than there are meeting rooms, but this sounds pretty exciting.
Øystein Hem: No, absolutely. I think there's a -- most common use case for sort of PC to PC video calls is to download another application. So that's -- if you're using Zoom in your normal work life, if you're invited to a Teams call, you will download the Teams application to do that specific call. And that's what we mostly see and what I think will be the most common sort of workflow going forward. For this bank, in particular, their virtual desktop environment made it a lot easier to just have one application than 2. And also the fact that by using one application, they can make sure that they're fully compliant with all types of compliance recordings across all calls, not just the ones that are on their platform. So we're super excited about the opportunity and sort of having the first sort of project live out there. But it remains to see sort of to what extent will this be a common adoption, I think outside of regulated industries, having 2 apps will still be the most common workflow, but excited to see how -- if we can get more traction on this also outside of this one back.
Åsmund Fodstad: If I can expand a bit on this. So this is already an existing customer on the room side, now expanding to the desktop and then clients. And again, of course, the main point here is the regulation being able to review all the recordings and what they have with the compliance around that. And that I do think is one thing is bank and finance, but we could see that in different industries also. But again, this is our first win, a large win with this product, and we're excited about the future for this interop solution as well.
Trond Johannessen: It clearly speaks to the flexibility of the technology and the way we can work with various types of endpoints and connection points into video and be that interoperability expert even when we're talking beyond the specific room systems that's been the kind of the core business for a long time.
Christoffer Bjørnsen: Yes, definitely. It's super exciting. And then just finally, on that headwind to the ARR in Connected Spaces from that shift from fixed to more variable oriented deal structure or pricing structure. Can you just give an update on like that 1 million that end up being like a pure [indiscernible] with no gain from signing new customers up on that new deal? Or just -- and then how do you expect that to develop into the kind of Q4?
Øystein Hem: Yes. We have had some minor sort of, call it -- we've reclaimed a small portion of that in Q3, and then I expect to sort of reclaim rest of that throughout the contract period ahead of us. So I would say progressing as planned.
Christoffer Bjørnsen: But just -- sorry to be difficult but so -- when is it like base case to be reclaimed? What's the contract period, remind me?
Øystein Hem: So that over the next, I would say, 1 to 2 years is my best estimate. But that depends on sort of to what extent -- when those new opportunities close with that new partner or with that part. Then moving on to Markus Heiberg from SEB.
Markus Heiberg: So first one, just on the timing of revenue recognition. What do you expect for Q4 relative to ARR to help our modeling going forward?
Øystein Hem: So Q4 is usually a fairly strong software quarter. So I expect that this year as well. So my sort of main assumption will be that revenues will grow roughly in line with ARR. And then I would factor in that we are facing a bit more headwinds with regards to the currency, which was extraordinarily good for us in Q4 of last year, whereas this year, it will be more sort of normal.
Markus Heiberg: And then on Connected Spaces, can you elaborate on the new revenues that you have? How much of that is from sort of new service attached rooms? And how do you expect that to develop over the coming quarters? Do you expect that pace to increase now with Google? And secondly, of course, Microsoft Teams for Android rooms that are coming? Maybe you can give some more flavor there.
Øystein Hem: Absolutely. So native rooms have increased around USD 1 million quarter-on-quarter, this quarter as well, which has been a fairly consistent pace over the past 4 quarters. Then I think it's fair to expect some acceleration of that now with the Connect for Google Meet. And then we're hopeful that with the introduction of Android that we will also get a bigger contribution from Teams. I do think that native rooms, if you look a year or 2 ahead will be a significant part of the Connected Spaces revenues overall.
Markus Heiberg: And the final one for me is on the employee side, it's flat quarter-over-quarter. And how should we think about that now over the coming quarters?
Trond Johannessen: We do see the scaling effects that was mentioned during the presentation that sort of even with a relatively stable cost base, we're able to grow the business. We are planning for a slight increase in number of employees. We've talked about maybe around 300 being kind of a reasonable figure. So -- but don't expect any kind of major shifts or kind of dramatic increases, but kind of a stable increase to basically mainly, I guess, on the -- to build capacity on the engineering side as we have new products and new solutions in the market and to have sort of enough salespeople in the parts of -- or in the geographies where we have significant traction, for example, in the U.S.
Øystein Hem: Then moving on to Halvor Dybdahl from Arctic. Can you hear us, Halvor?
Halvor Dybdahl: Yes. Can you hear me?
Øystein Hem: Yes, we can.
Halvor Dybdahl: Perfect. So just a question regarding the ARR guidance for Q4. The delta ARR seems to be quite in line with Q3, which often is more -- is the seasonally slower quarter, so how should we think going into Q4? And do you have any large contracts announced in Q3 that we sort of have to extrapolate or just some color on that.
Trond Johannessen: I think the Q3 was a reasonably good normal quarter, and nothing kind of major that drove within -- in the direction it ended. So kind of across the board, pretty solid. Looking at Q4, the guiding that -- and as I said in the presentation, the guiding that we're giving for Q4 is meant to sort of send a signal that we expect the positive trend that we have seen over the last quarters to continue. It's not meant to give you kind of a decimal figure to put into your spreadsheet. It's meant to indicate that we sort of see the trends that we have seen over the last quarters will continue also in the fourth quarter and hopefully beyond.
Øystein Hem: But to add some color to that, I think we did 3.6% in Q4 of last year.
Trond Johannessen: Yes, right.
Øystein Hem: And if -- from our starting points, we sort of have a range now of 2% to 5%. So our expectation is that Q4 will be a good quarter in line with the previous Q4s. Lovely. Then we move on to Lisa Wimmer from [indiscernible]
Unknown Analyst: First, I wonder what is the current progress on the Teams for Android rollout?
Åsmund Fodstad: January? Again, I think we said that in the previous earnings call as well. We're dependent on the Microsoft putting this out in the market. We are on track, and we know they are saying Q1 2026. We also know that they are talking to some of their largest customers about this coming. So we're very optimistic about rolling that out in Q1, but it sits with Microsoft for now.
Trond Johannessen: I think the official road map says -- say, January or it say Q1.
Åsmund Fodstad: Kind of. We don't care. We have heard rumors of January.
Trond Johannessen: Yes.
Unknown Analyst: Okay. And what do you see in ARR potential for the Microsoft rollout of Teams for the U.S. government potential? And when do you see potential deployment from this contract?
Trond Johannessen: I think that's an excellent question. The potential here could be significant. Currently, our current sort of projects are in the sort of hundred thousands kind of dollars ARR. We see sort of potential for going into the millions just with a couple of projects that we're currently working on, and there could be potential beyond that. So the uniqueness of Pexip's technology and the market position we have and the cooperation with Microsoft is really helping us in this area. But to give you a more exact answer than that is a bit difficult. We're kind of working to understand which organizations, which clouds, which deployment situations will be relevant for us here going forward.
Åsmund Fodstad: And it's an excellent opportunity to also add some more color working with these large communities, especially on the federal side in the U.S. is long sales cycles. That's one thing. What's going on in the U.S. market currently is kind of hard to predict. And you typically go through proof of concepts, et cetera, et cetera, before you basically get the entire deployment. But we are in a very, very good place, but also hard to say when will it happen and the exact timing on it, which is a couple of components that we are not able to control basically.
Trond Johannessen: But it's clearly one of the reasons why we are feeling good about the development in securing customer going forward.
Åsmund Fodstad: Yes.
Øystein Hem: Thank you. That concludes our Q&A session. Thanks for the attention.
Trond Johannessen: Thank you.
Åsmund Fodstad: Thank you.